Operator: Hello, and thank you for standing by for JD.com's Fourth Quarter and Full Year 2020 Earnings Conference Call. [Operator Instructions]. Today's conference is being recorded. If you have any objections, you may disconnect at this point. I would now like to turn the meeting over to your host for today's conference, Ruiyu Li. Thank you. Please go ahead.
Ruiyu Li: Thank you, operator. And welcome to our Fourth Quarter and Full Year 2020 Earnings Conference Call. Joining me on the call today are Mr. Lei Xu, CEO of JD Retail; and Sandy Xu, our CFO. For today's agenda, Mr. Xu will share his thoughts on the recent business trends, followed by our CFO, Sandy, who will discuss highlights for the fourth quarter and full year 2020. Both of them will join the Q&A session. Before we continue, I refer you to our safe harbor statements in the earnings press release, which applies to this call as we make forward-looking statements. Also, this call includes discussions of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of non-GAAP measures to the most direct comparable GAAP measures. Finally, please note that unless otherwise stated, all the figures mentioned during this conference call are in RMB. Now I would like to turn the call over to our CEO of JD Retail, Mr. Lei Xu.
Lei Xu: Thank you, Ruiyu. Hello, everyone. Thank you for joining our Q4 earnings call. This is Xu Lei, CEO of JD Retail. I'm glad to take this opportunity today to share with you JD Retail's 2020 review and our outlook for the new year. 2020 was no ordinary year. We observed significant changes in the macro economy, the retail industry and the way our customers live their lives. The global pandemic greatly impacted society and everyone's lives. It also brought many uncertainties to the global economy. But great opportunities can be found amidst great challenges. With the profound changes in consumers' mindsets and behaviors during this period, China's online retail penetration continues to deepen. Consumers' needs, attention, spend, contact forms and means of communication, all underwent many changes. Consumer's demographics and use cases became increasingly segmented and diversified. The lower tier market, the silver economy, the users who were born after 1990s and the year 2000, the community economy, the on-demand consumption and many more engaging trends have presented us a wide range of growth opportunities. In the face of these challenges and opportunities, JD's business model has proven to be resilient through different economic cycles. We adopted a more open approach to running our business and continuously enhance our ability to enable our business partners. Our long-standing business philosophy of noble principle of doing business served as our true north in navigating the uncertainties and changes. All these efforts have helped us to gain the trust of many more users and business partners. Over the past year, we have not only successfully withstood the challenges, but also seized the opportunity for further growth and iteration. JD.com delivered a strong set of financial results in 2020. This is mainly attributable to our continuous investment, improving our users' experience and also always put our customer first in running our business. By the end of Q4, we hit a new high with annual active customers for the past 12 months reaching 472 million. We saw accelerated user growth and added 110 million new active customers compared with a year ago. This is the largest expansion in our history. We continue to see exciting user growth in the lower-tier cities, which contributed over 80% of our new users for the first time in Q4 2020. We're even more delighted to see increased engagement from our customers. For example, the ARPU value or the ARPU from our 2015 customer cohorts increased more than 5x by 2020. And we also see a very active engagement of our JD Plus members. In 2020, we maintained healthy growth in our core businesses and achieved significant progress in new business initiatives. JD Retail is JD's earliest and most mature core business. It plays a fundamental role in JD achieving its long-term strategic goals. We are pleased to say that in the past year, JD Retail realized high-quality and accelerated growth and meaningful and sustainable innovation. Looking ahead in 2021 and beyond, as a supply chain based technology and service provider, JD Retail will continue to focus on 3 key strategies: enhancing our middle platform capacities for supply chain and technology, our omnichannel strategy and our online marketplace ecosystem. First, on the middle platform for supply chain and technology, JD has been investing intensively in the building of supply chain infrastructure for a long time. At the end of 2020, we managed more than 7 million SKUs of our direct sale products in over 900 warehouses across China. During COVID-19, supply chain has impacted the development and cooperation among industries and enterprises around the world. The need for reliable supply chain is all the more imminent in an environment of increased uncertainties. What JD aspires to do is to build a middle platform ability that can be applied in more diverse use cases and channels. With this goal in mind, we have been investing unswervingly in supply chain and technologies to help merchants, both online and off-line, big and small, including brands and factories, to improve their operational efficiency, to enhance their customers' experience and to improve their risk resistance capacity. This will also help promote high-quality growth of the whole industry and create value for the entire society. For JD, this endeavor will further diversify our revenue stream and drive our service revenue in the future. Second, in face of a broad range of business channels and use cases, our omnichannel strategy aims to increase the overall retail efficiency to satisfy customers' diverse needs to provide people with immediate access to products and services and to create value for merchants and customers. Our omnichannel business is complementary to JD platform's main retail model. Omnichannel is not only a key strategy for JD, but also a new trend that all the retailers must address. The penetration rate of this model is still quite low among off-line businesses. We believe that there is a huge potential to integrate omnichannel and on-demand fulfillment element with many industries in the future. Today, JD's omnichannel business has already covered various off-line scenarios ranging from shopfront type of stores, convenience stores, car maintenance stores, fresh groceries and fresh flowers to pharmaceuticals connecting with millions of off-line stores. In future, based on our unique supply chain and technology ability, we will develop LBS-based technologies tailored to the on-demand consumption market. We will also continue to build up our omnichannel supply chain, omnichannel marketing and off-line store digitalization abilities to support their applications in many more industries, businesses and scenarios. Meanwhile, we will work on cultivating customers' market share of on-demand fulfillment through innovative measures, such as our omnichannel fulfillment initiative and cooperation with external partners such as the partnership between JD Retail and Dada Group. In 2021, we will expand our coverage to more retail verticals and drive the quality growth of our omnichannel business. This will provide us additional monetization opportunities. Third, on the building of an online market ecosystem, this is an area of great potential for JD. With several years of development, we have now established a good foundation for the online platform ecosystem. Notably, we have made good progress in building a healthy platform environment and improved the merchants' quality and user experience. We are pleased to see that the NPS, Net Promoter Scores, of our online marketplace continues to improve over the year. So far this year, our merchants' renewal rate is much higher than in the past, reflecting a significant improvement in merchant satisfaction and recognition of our platform. Looking ahead, capitalizing our healthier industry environment, we will continue to experiment with new models and strategies to find the optimal strategies for JD's online marketplace. These attempts will still be guided by JD's ultimate business purpose to improve customers' shopping experience and provide an open and empowering platform for merchants. While adhering to these strategic directions, we will continue to underpin our business foundation, keep an open mind, incubate new business and use innovation to face change. Whether it is our first-to-growth curve represented by our established business such as consumer electronics and consumer goods or our second growth curve represented by our growing business such as health care and MRO categories or the third growth curve represented by emerging business such as retail innovation, service and technology initiatives, JD Retail can always identify and incubate new growth opportunities. Here, I would like to emphasize JD's strategic positioning as the supply chain based technology and service provider. We uphold our long-term business philosophy. Since day 1 of JD's business, we chose to tackle the hardest, but most valuable problems in the industry and society. No matter how far we have come, as long as we remain committed to our customer-first core value and supply chain based value creation, we'll always be able to go full steam ahead. This attitude embodies our long-standing business philosophy that is the noble principle of doing business. The road ahead is long and winding, but taking 1 step ahead, we will preserve. We believe the core values and mission that JD has been abiding by are relevant to the new microenvironment and industry development. JD will continue to innovate and invest in these strategic directions. We will constantly and continuously deliver operability and creates value for society, industries, our partners and our customers, and in turn, achieve long-term high-quality growth at JD. Thank you for your time. I'll now give the floor to our CFO, Sandy.
Sandy Xu: Thank you, Lei. Hello, everyone. We were pleased to finish 2020 with exceptional business and financial performance in the fourth quarter. We outperformed our expectations with accelerated user and top line growth and exciting progress in multiple new businesses, while maintaining solid bottom line performance and strong cash flow during the fourth quarter and throughout the full year 2020. These results were driven by our relentless focus on customer experience and investments in supply chain capability, technology and in logistics infrastructure over the past years, which has become a hallmark of JD.com. As we embrace change and position our business for the long run, JD has been at the forefront of many innovative initiatives and structural shifts that are taking place in China. In addition to the exciting developments at JD Retail that Lei just described, I would like to further elaborate on some operating and financial highlights. First, let me add more color on our user base. By the end of Q4, we hit a new high watermark for our annual active customers in the past 12 months at 472 million. We saw accelerated user growth to 30% year-on-year and added 110 million new active customers from a year ago. In addition, we managed to grow our user base, while continuing to reduce our marketing expense ratio in 2020. This improved marketing efficiency was driven by our long-term user-centric operating philosophy and technology-driven marketing efficiency improvement, paving the way for our sustainable user growth going forward. Let's turn to a number of our new business initiatives, which are making exciting progress. First, on JD Logistics. Began as JD Group's in-house logistics department in 2007, JD Logistics has been building logistics infrastructure and technologies as well as operational and industry know-how for over a decade. It has become the leading technology-driven supply chain solutions and logistics services provider in China. And operated over 900 warehouses with an aggregate gross floor area of 21 million square meters. On February 16, 2021, JD Logistics submitted a listing application form to apply for the listing of its shares on the Main Board of Hong Kong Stock Exchange. Please note that there is no guarantee as to whether and when the proposed listing will take place. Some of our smaller businesses are also experiencing rapid growth. For example, JD Property recently launched its first logistics properties development fund with some prestige strategic investor. So far, total AUM of JD Property's Core Funds and the Development Fund has exceeded RMB 19 billion. JD Property also entered into a definitive agreement for Series A financing. The total amount expected to be raised is approximately USD 700 million. We also restructured some business units recently to better coordinate our internal resources and capture market opportunities. For example, we established Jingxi Business Group recently to further strengthen our supply chain capacity as we serve customers and empower SMEs in the lower-tier cities. To achieve better synergies, our social e-commerce platform Jingxi, convenience store business, Jingxitong, formerly known as Xintonglu, and community group purchase business, Jingxi Pinpin, were consolidated under the Jingxi Business Group banner. And in December, we announced that JD Cloud & AI business will merge with JD Digits, subject to the Board and regulatory approvals. The proposed reorg was designed to drive synergies in the development of innovative technologies and product solutions. This will allow JD.com to focus more on core retail and logistics business and gain more flexibility in allocating resources to new business. Within our retail business, JD Health achieved an important milestone with the successful listing on the Hong Kong Stock Exchange on December 8, 2020, with a gross proceeds of approximately HKD 31 billion. As a technology-driven platform centered on the supply chain of pharmaceutical and health care products and health care services, JD Health aims to provide easily accessible, convenient, high-quality and affordable health care products and services covering a user's full lifespan. JD has demonstrated a proven track record of successfully incubating, developing and growing new businesses from our core B2C e-commerce business. We believe this is enabled by our relentless focus on superior customer experience and our efforts in building and investing in supply chain capabilities and technology infrastructure. This creates a virtuous cycle, allowing us to identify new opportunities to empower external business partners and grow beyond our core e-commerce business. Therefore, we will continue to invest in exciting new initiatives that can drive long-term sustainable growth for our group. Our financial performance reflects the trajectory of our long-term development. Our net revenues grew 31.4% year-on-year to RMB 224 billion in the fourth quarter, continuing our strong growth momentum with a successful promotion season. More importantly, we are driving our top line in more expansive ways. Our electronics and home appliance categories increased 25% year-on-year during Q4, continuing to outperform the industry by a large margin. General merchandise revenue continued to grow faster at 34% year-on-year in Q4, led by the FMCG, health care, cosmetics and home product categories. Order volume for the supermarket category grew by 45% year-on-year in Q4. Another key metric shows that we are growing our top line in a more diversified way is our net service revenue growth, which accelerated to 53% year-on-year in Q4, the highest growth we had in the past 11 quarters. This is mainly driven by the strong growth momentum of JD Logistics' external revenue as well as our advertising revenue. For the full year of 2020, net revenue reached RMB 746 billion, with year-on-year growth accelerating to 29.3% from 24.9% in 2019. Electronics and home appliance revenue recorded solid growth of 22% year-on-year amid challenging market conditions, while general merchandise revenue grew 38% year-on-year in 2020. Net service revenues grew by 42% and accounted for 12.6% of our total revenue in 2020. Our non-GAAP operating margin improved by 13 basis points year-on-year to 0.5% in Q4 and up 52 basis points year-on-year to 2.1% for the full year 2020. JD Retail's operating margin came in at 1.5% in Q4 and reached 2.8% on a full year basis in 2020, up 28 basis points from 2019, mainly driven by improved operating efficiency and to a lesser extent the relief of social security during the COVID-19 pandemic. The margin improvement in 2020 was realized even as we shift our category mix towards the high-frequency but small ticket size consumer staple categories that are still in the early stage of realizing earnings potential and proactively reinvest some of our social security benefit in value creation for our users and the logistics infrastructure. We are well on track of our long-term margin trajectory.  Moving to the bottom line. Our Q4 non-GAAP net income attributable to ordinary shareholders was RMB 2.4 billion and non-GAAP net margin improved 59 basis points year-over-year to 1.1%. Our full year 2020 non-GAAP net income attributable to ordinary shareholders reached RMB 16.8 billion, up 57% as compared to RMB 10.7 billion last year. Non-GAAP net margin for the full year 2020 improved 39 basis points year-over-year to 2.3%. Again, our profitability has improved meaningfully in 2020 even as we incurred additional expenses related to COVID-19 and exclude the benefit of the social security relief, which had about 25 basis point impact. It's worth highlighting that we continue to strengthen our financial position while stepping up support to our business partners. Our inventory turnover days further reduced to 33.3 days in the last 12 months, one of the lowest among the top global retailers and our own historical record again despite of the continuous expansion of total SKUs directly managed by us. This is achieved through the continuous improvement of our technology and operating efficiency. Our free cash flow for the trailing 12 months hit a new record of RMB 35 billion, grew 80% from a year ago. As of December 31, 2020, cash and cash equivalents, restricted cash and short-term investments added up to a total of RMB 151 billion. We believe our solid profitability and financial position provide us with a strong foundation for investments in a range of growth opportunities. In summary, JD.com capped off a challenging year of increased uncertainties with a remarkable performance. We further improved our technologies and tools, enhanced our ability to serve users and ecosystem partners, which paved the way for our future growth. We continue to witness a deepening of online penetration across many categories and the technology-driven transformation in many aspects of consumers' daily life and to the society in China. We expect to maintain the growth momentum that we generated in 2020 on multiple fronts in 2021 in spite of continuous macro challenges and the high comparable base impact. We also expect our long-term margin trajectory will continue. However, we do not forecast short-term margins as we believe JD.com is still in a fast-growing stage in an enviable growth market with many exciting opportunities. With our core retail supply chain and logistics capabilities, JD is well established with convincing value proposition to benefit from the secular trends and drive the long-term sustainable growth of our business in 2021 and beyond. This concludes my prepared remarks. Let's open the call for questions. Thank you.
Operator: [Operator Instructions]. Your first question comes from the line of Eddie Leung of Bank of America.
Eddie Leung: Just a couple of quick follow-ups after your presentation. Firstly, your user growth is pretty impressive, very strong. Wondering if there is any impact on the ticket size? If the ticket size is coming down because of new users, does it affect the operating leverage of your logistics pieces? Seems like the fulfillment cost as a percentage of sales is a bit higher than our expectations. So just wondering your thought. And then I think Xu Lei mentioned the renewal rate of your platform merchants improved last year. So just wondering how quickly is the number of marketplace and merchants are growing because of the improved renewal rate?
Sandy Xu: Thanks, Eddie. This is Sandy. Let me take your first question regarding the fulfilled margin. So I think for gross margin, we would look at 1P and 3P separately. If we look at the pure B2C gross margin in Q4, it went down a little bit, but if we include advertising revenue in relation to our 1P product, that is how internally we manage the operating results. The gross profit margin for 1P actually slightly increased. So this is after considering all of our reinvestments in Q4 for the additional profits that we generated from the first 9 months in the year.  As I mentioned at the earnings call last quarter, we plan to reinvest some of the additional profits generated from the first 9 months in the fourth quarter to really provide value to our customers and also to reinvest to build our logistics infrastructure. So again, to emphasize that the gross margin for 1P actually slightly increased compared to the same quarter last year. If you look at the fulfilled gross margin for 1P, there is also a slight improvement from last year compared to the Q4. And we see very meaningful improvement for the full year compared with last year by about 20 basis points. So this is driven by the steady improvement of gross margin by many categories, including the category mix shift towards lower-margin supermarket category. So the relief of social benefits has no impact on the improvement for the full year of our fulfilled gross margin as we had the onetime VAT benefit in 2019. So the amount is almost the same. Really, what's dragging down the total fulfilled gross margin were also -- is the 3P revenue contribution. We can see that the contribution for -- from the 3P revenue went down a little bit in the fourth quarter, even though the 3P contributed more GMV in Q4 as compared to Q4 last year. We were quite encouraged by the healthy performance of our marketplace business model, but the category mix within the marketplace business model also changed slightly. The health care, supermarket, electronics and home appliance categories outperformed the apparel and home products. So that means the categories with relatively lower take rate are growing faster than categories with higher take rates under our marketplace business model. Again, we believe this is a healthy move and a good indicator of our efforts in building a better marketplace ecosystem, particularly for our historically strong 1P categories.
Lei Xu: And to answer your second question, you have all known that JD's reputation is the strongest in terms of the consumers' impression of our service experience. And through the year, you can see that the number of merchants on our platform has enjoyed a steady growth. As the consumers have a higher expectation on our service, we will also have a higher expectations on the qualities and the products from our merchants on the platform. During the last year, we have done some screening work over low efficiency and low operation merchants, and still, we see the overall number of our merchants on the platform is steadily growing. And this year, we have been recruiting more high quality merchants. They have -- they are more experienced and running their business in a more efficient way. So we will pay a close attention on the efficiency of our internal platform and also the operational efficiency of our merchants on the platform and how well they are running their stores. And for this year, the cut-off time for the merchants renewal is on March 30. So we have seen the renewal rate is much higher than in the past. And we've also seen the improvement of our merchants satisfaction rate of our platform. Thank you for the questions.
Operator: Your next question comes from the line of Ronald Keung of Goldman Sachs.
Ronald Keung: Congratulations on the strong 2020 performance. I think my question would be on both of you, Lei Xu and Sandy, you mentioned about a lot of new business, which are very exciting. And I could see you just launched Jingxi, also all the different initiatives in -- both in the kind of new businesses. How should we think about our kind of plan to invest in these? I think, because, of course, JD Retail is very strong on itself, but given some of the exciting initiatives, could you go through these initiatives maybe 1 by 1 or the biggest key? And how should we think about our commitment or the plan to invest in terms of magnitude?
Sandy Xu: Thanks, Ronald. This is Sandy. Maybe let me take the question regarding Jingxi and then Lei can comment on some other new initiatives. So in Q4, as I mentioned, we did a restructuring for our Jingxi Business Group to really try to generate synergies from the 3 separate business units. We see there is a great opportunity in this group purchase business -- group purchase industry or the fresh produce category. So we firmly believe there is a structural opportunity, the huge market size and highly fragmented supply chain with lots of opportunities and potential to improve the operating efficiency through technology and innovative business model. And we also see that the group purchase business model works better for smaller ticket size items in the lower-tier market as it can generate better fulfillment efficiency through short chain logistics and be more efficient in inventory management and marketing, especially for perishable and non-food products and provide users from the lower tiers markets with better experience. So even though at present, most players in this market build their food purchase business model primarily driven by traffic, we believe by end of the day, it will go back to the basis of retail business, i.e. platforms will compete on cost of products, operating efficiency and customer experience. So we see this to be a long-term initiative and ultimate goal is to improve the operating efficiency of supply chain, the wholesale and retail business in the lower-tier market through technology and improve people's living standards. JD is fully dedicated in this initiative, and we will take a somewhat differentiated approach to be more focused on supply chain and logistics network and try to leverage our existing capabilities. So we launched our Pinpin business in certain cities from January, and it's still in a very early stage. We were entering into this group purchase business, we need to build localized supply chain, short chain logistics network as well as technologies and tools to support their operations. We also need to recruit group leaders, business development teams and educate our new users, step by step, city by city. So there are lots of areas need investments. But we are now starting entirely from the scratch. We test it, we have been testing the group purchase business model for a while in a very small scale. For our convenience store business, Xintonglu, now renamed Jingxitong, we already established some B2B supply chain primarily in the FMCG category, including some localized supply chain. We also have existing B2B logistics network and localized business development teams in certain regions of the country. Jingxitong now has over 1 million SME customers, and some of these convenience store owners can naturally be turned to the group leaders of our Jingxi Pinpin business. Our existing centralized procurement platform, the middle platform, mentioned by Lei just now, for FMCG, home products or other categories can support Pinpin shipment and provide users of Pinpin with more product selection. At the same time, that should generally still benefit for core retail through sales on Pinpin's channel. So we are working with various business partners, including China Dili, as the manufacturing basis for agricultural products to strengthen our supply chain capability further upstream and try to source the best value product for our users. At the same time, helping the existing market players on the supply chain with digital transformation, including the agricultural products wholesale market. Our Jingxi e-commerce platform aim to serve the users from the lower-tier cities, and they have accumulated a lot of loyal users since its establishment. Based on our initial test in a small group of users, we are pleased to see a good conversion of Jingxi users to Pinpin users. So we believe JD Group's existing teams and capabilities in the lower-tier cities form a good basis to drive our Jingxi business, although not sufficient to support the growth of the new business as we can quickly replicate, adjust and apply our existing securities, industry know-how and capabilities to the new model. Pinpin can also help increase the engagement of the users and merchants from the lower-tier markets, including convenience stores for Jingxi and Jingxitong business as well as supporting our main app. So these are also the logic of reorganizing and consolidating the 3 business units into 1 business group. Most importantly, JD is fully dedicated in this initiative. We sent our best people to this new business group, and they also got supply chain support from our core retail and logistics business groups. So talking about the investment, we have put aside sufficient budget to start and grow the business as we need to invest in many areas, as I just mentioned. And we will evaluate the ROI for the investments and make sure adequate adjustments based on the market situation. It's pretty difficult to accurately predict at this stage how much we are going to spend on these new initiates. As you can see, the market is very dynamic with many, many players. What I can tell you is our strategy is not to acquire users through short-term and crazy subsidies, but to really invest in building the hardcore capabilities and technology to run the business and create long-term value for our users and business partners and the society.  So this is also consistent with our group's operating philosophy. To improve the transparency of our communication with investors, we plan to take out the operating results of Jingxi Business Group from JD Retail segment and report under new business starting from Q1 this year. We are excited about this business opportunity, and we look forward to sharing more with the investors as we develop the business.
Lei Xu: Now let me add something on the new business. And not only for the e-commerce, but essentially for all the retail business, we will focus on the customers' products and the platform. So since the beginning of JD Retail's development, we started from our products, and we start to expand our product selection. So we do our first-party and then the third-party product offering. And for the next step, we focused on our customers, and we start with providing products to the targeted customer cohorts who are interested in the customer -- consumer electronics and digital products, and then we will continue to expand our consumer base to more people in the lower-tier cities and senior users, et cetera. And in terms of the platform, we started to build our platform in a centralized way, and then now we are moving to more decentralized formats. And in the past 2 years, we have been exploring new formats with the off-line businesses and our omnichannel initiatives. So this is now the basic JD's business logic. And behind that, the most important thing is that we are thinking and doing things to see what type of pain points, what we can solve the pain points about bringing down the cost and improve the efficiencies and giving better shopping experiences for our customers. So this you can see is the process we are looking for some solutions for the pain points and also whether there will be new ways to find -- there will be new or more leading or robust models or methodologies to do retail. So we have seen that in the past years, JD Retail has incubated JD Health and JD MRO. And all of this being created based in our principle to solving some pain points and create value for this industry. And we have seen that in JD's development history and this has happened to many other companies as well, when we are considering to enter a new market, we'll first look at the scale of the market. However, we'll think deeper and see whether this new business will truly create long-term value for the industry and for the society. So this is, as I mentioned, the basic logic when we are making our decisions to enter a new business or not. So eventually, we'd love to create a sustainable and constant value to the society and our customers.
Sandy Xu: Yes, it also supplements our businesses other than the retail business. For JD Logistics, it will continue to build technology and infrastructure to further expand its product and service offerings. And we also have JD International. So we have a small operation in Southeast Asia. They are in the fast hyper growth stage, but still in the investment stage.
Operator: Your next question comes from the line of Alicia Yap of Citigroup.
Alicia Yap: Congrats on the solid results. Just very quickly, I wonder, have you already generated any revenue from community group buy in the fourth quarter? Just wondering your FMCG category, have you seen any impact given the rising intensity of these community group buy platform from the peers? And then just quickly on the first quarter Chinese New Year. So any qualitative color that you could share with us, given this year is also another -- a little bit special year given the stay in the cities measure. So what have you observed in terms of the category demand as compared to the normal Chinese New Year period? Any category that you have seen are abnormally strong this year?
Lei Xu: This is Xu Lei. We'll answer the questions related to FMCG and Chinese New Year brand promotion. And overall speaking, we have seen the forecast of the community group buying in these -- in the following areas: first is the fresh produce and also the FMCGs and some may related to the digital products, but mainly focusing on the first two. And we don't see a quite big impact of -- we don't see the JD's business has been having a big impact from the fast development of community group buying. I think this is mainly related to our customers' shopping behaviors and their mindset -- mind shares and also their preference on our product. And it's also worth mentioning that some of our SKUs has been of some favorable items that some community group buying companies want to work with them through our supply chain, enabling our business formats. And regarding the question about the spring festival -- shopping festival because compared with last year's COVID situation, this year, there's some major changes on the consumption, we do see a healthy consumption results and our consumers' participation in this year's shopping festival. We have seen some categories enjoying a very fast growth rate during this year's spring festival grand promotion, such as the gift, beauty products and food and also home appliances. The home appliances suffered from the pandemic the most last year. And this year, the demand is coming back fast. And in contrast, some categories, which had a good sales performance last year, such as some home cleaning, health care and masks, they're coming back to the normal level. So generally speaking, we do see this is a very healthy consumption trend. And one more point to add is that because the government encouraged people to stay at their working place to celebrate the New Year, we do see a surge of remote orders among our platform. The remote orders are those orders the buyers that make the orders and sending to the recipients living in other cities. And the sales of the remote -- the numbers of remote order actually doubled on our platform. And also because of the staycation, a lot of merchants continue to operate their business on the platform during the grand promotion and even extent their working hours there. So we do see they are very engaging and very active in participating in this sales event.
Sandy Xu: Yes. And on the revenue contribution from community group purchase in Q4, we're only experimented in very small-scale in the fourth quarter in 1 or 2 cities. So you can ignore the revenue contribution.
Operator: We are now approaching the end of the conference call. I will now turn the call over to JD.com's Ruiyu Li for closing remarks.
Ruiyu Li: Thanks, operator. Thank you for joining us today on the call. Please feel free to contact us if you have any further questions. We look forward to talking with you in the coming months. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.